Operator: Good morning, ladies and gentlemen and welcome to the Protalix BioTherapeutics Second Quarter 2024 Financial and Business Results Conference Call. As a reminder, this conference call is being recorded. I will now turn the conference over to our host, Mr. Mike Moyer of LifeSci Advisors. You may begin your conference.
Mike Moyer: Thank you, operator and welcome to the Protalix BioTherapeutics second quarter 2024 financial results and business update conference call. With me today are Dror Bashan, President and CEO of Protalix; and Eyal Rubin, Senior Vice President and Chief Financial Officer. A press release announcing the financial results and corporate updates was issued this morning and is available now on the Protalix website. Please take a moment to read the disclaimer about forward-looking statements in the press release. The earnings release and this teleconference include forward-looking statements. These forward-looking statements are subject to known and unknown risks and uncertainties that may cause actual results to differ materially from the statements made. Factors that could cause actual results to differ are described in the disclaimer and in Protalix's filings with the U.S. Securities and Exchange Commission. I’ll now turn the call over to Mr. Bashan. Dror?
Dror Bashan: Thank you, Mike. And thank you everyone for joining our second quarter 2024 financial results and business update call. I will begin by reviewing our recent accomplishments before handing the call to Eyal who will provide a review of our financial results. We will then, of course, open the line for questions. I will turn first to PRX-115, which is our recombinant PEGylated Uricase candidate produced through our ProCellEx platform in development for the treatment of uncontrolled gout. We recently announced encouraging results, initial top-line results from the first seven cohorts of the first in human Phase 1 clinical study with PRX-115. As a reminder, this study is a double-blind placebo controlled single ascending dose study designed to evaluate safety, tolerability, pharmacokinetics, and pharmacodynamics following a single dose of PRX-115 in subjects with elevated uric acid levels. The preliminary results from the first seven cohorts demonstrated that PRX-115 exposure increased in dose-dependent manner and PRX-115 rapidly reduced plasma uric acid concentrations to below the guideline level of 6 mg/dl. PRX-115 was also generally well tolerated based on the initial top-line results of these initially seven cohorts and the review and acceptance of the safety data by the safety monitoring committee for dose escalating we expanded the Phase 1 study by adding an eighth cohort so we can analyze a higher dose of PRX-115 and its potential to result in an increased exposure time. Dosing in this 8 cohorts is now complete and the 85-days follow-up period is in progress. We expect top-line results from the full study to be available in the fourth quarter of this year. In addition to the expansion of the Phase 1 study we've also initiated already preparations for Phase 2 trial of PRX-115 in patients with uncontrolled gout. We plan to meet and communicate with regulatory authorities in the U.S., Europe, and Europe to discuss our Phase 2 plans and the overall clinical progress with the goal of initiating the Phase 2 study in the mid of next year. Our commercial partner, Chiesi Global Rare Diseases, remains committed to a successful commercialization of Elfabrio and has a wealth of experience on their team. Chiesi has invested heavily in the rare disease space and we are confident that they will continue to penetrate the market and build a Fabry franchise for the longer term. Our next pipeline candidate also expressed for Protalix's PRX-119. PRX-119 is a PEGylated Recombinant Uricase human DNS candidate in development for the potential treatment of diseases associated with neutrophil extracellular traps or NETs. Excessive formation or accumulation of NETs can result in different pathological effects, which have been observed in various autoimmune inflammatory and fibrotic conditions. Beyond PRX-115 and PRX-119, we are focusing our R&D efforts on early-stage development assets to build our product development pipeline. We have fine-tuned our pathway going forward to focus on leveraging our ProCellEx platform and prioritizing renal rare disease indications. With regard to the therapeutic areas, our strategy moving forward is to prioritize renal rare disease as the core of Protalix development pipeline. This is a logical focus for our company given our existing experience and the network and resources we build through the diligent and dedicated efforts throughout the Fabry development program. For example, PRX-119 is being evaluated for NETs related renal autoimmune associated diseases. In addition, we have identified potential key high unmet need indication in which -- on which we plan to focus our initial efforts such as ADPKD, Alport Syndrome, FSGS and others. Work is currently ongoing to identify assets for these and other indications. In order to expand our platform we are evaluating novel plant-based drug delivery system that may allow protective delivery of different modalities into specific tissues. These exploratory studies are ongoing and we look forward to updating you on the progress of these efforts as they progress. In addition to our ProCellEx platform, we intend to explore other modalities, such as small molecules and oligonucleotides to take advantage of highly innovative opportunities. Before turning the call to Eyal, I want to note that our strong cash position will enable the repayment of our convertible notes due next month in September, actually in September 1st and to maintain our ongoing operation, including the Phase 2 study in gout. In addition, we expect Phase 2 Chiesi to gradually continue as Chiesi anticipates future approvals and launches in additional markets. With that, it is now my pleasure to turn the call over to Eyal for a review of our financials. Eyal, please?
Eyal Rubin: Thank you, Dror and thank you everyone for joining today's call. Let me review our second quarter 2024 financials. We recorded revenues from selling goods of $13.3 million during the three months ended June 30, 2024, a decrease of $1.8 million or 12% compared to revenues of $15.1 million for the three months ended June 30, 2023. The decrease resulted primarily from a decrease of $10 million in sales to Chiesi, partially offset by an increase of $4.7 million in sales to Brazil and an increase of $3.5 million in sales to Pfizer. Sales to Chiesi in three months ended June 30, 2023, were in connection with the commercial launch and inventory buildup of Elfabrio after its approval for marketing in the United States and the European Union. The increases in sales to Brazil and Pfizer during the three months ended June 30, 2024 resulted primarily from the timing of delivery. We recorded revenues from license and R&D services of $0.2 million for the three months ended June 30, 2024, a decrease of $19.8 million or 99% compared to revenues of $20 million for the three months ended June 30, 2023. Revenues from license and R&D services are comprised primarily of revenues the company recognized in connection with the Chiesi agreement. The revenues from license and R&D services for the three months ended June 30, 2023 were the result of the $20 million regulatory milestone payments from Chiesi in connection with the FDA approval of Elfabrio granted during that period. Cost of goods sold was $9.5 million for the three months ended June 30, 2024, an increase of $3.4 million or 56% from cost of goods sold of $6.1 million for the three months ended June 30, 2023. The increase in cost of goods sold was primarily the result of an increase in sales to Pfizer and to Brazil. For the three months ended June 30, 2024, the company’s total research and development expenses were approximately $3 million, comprised of approximately $0.5 million subcontractor-related expenses, approximately $1.6 million of salary-related expenses, approximately $0.2 million of material related expenses, and approximately $0.7 million of other expenses. For the three months ended June 30, 2023 the company total research and development expenses were approximately $4.5 million, comprised of approximately $1.7 million of subcontractor related expenses, approximately $2 million of salary and related expenses, approximately $0.1 million of material-related expenses and approximately $0.7 million of other expenses. Total decrease in research and development expenses for the three months ended June 30, 2024 was $1.5 million or 33% compared to the three months ended June 30, 2023. The decrease in research and development expenses resulted primarily from the completion of the company's Fabry clinical program and the regulatory process related to the review of Elfabrio BLA in the U.S. and the MAA in the European Union by the applicable regulatory agencies. Selling, general, and administrative expenses were $3.5 million for the three months ended June 30, 2024, a decrease of $0.5 million or 13% compared to $4 million for the three months ended June 30, 2023. The decrease resulted primarily from a decrease of $0.5 million in salary and related expenses. Financial income net were $0.2 million for the three months ended June 30, 2024, compared to financial expenses net of $0.8 million for the three months ended June 30, 2023. Difference resulted primarily from a higher interest income on bank deposits and lower notes interest expenses due to the notes conversion executed in 2023. In the three months ended June 30, 2024, recorded a tax benefit of approximately $0.1 million compared to income taxes of $0.3 million for the three months ended June 30, 2023. Income taxes recorded are primarily the result of the provision for current taxes in respect of Section 174 of the U.S. Tax Cuts and Jobs Act, which was enacted in December 2017. Cash, cash equivalents, and short-term bank deposits were approximately $45 million at June 30, 2024. As Dror mentioned, we believe our cash position is sufficient to enable the repayment of our convertible notes due September 1, 2024 and for our ongoing operations. Net loss for the three months ended June 30, 2024 was approximately $2.2 million or $0.03 per share basic and diluted compared to a net income of $19.3 million or $0.29 per share basic and $0.21 per share diluted for the same period in 2023. Since the end of the quarter ended June 30, 2024, the company collected approximately $4.6 million in the aggregate from sales to Pfizer and approximately $2.3 million from the sales to Brazil. I will now turn the call back to you, Dror.
Dror Bashan: Thanks, Eyal. To conclude, I would like to express my confidence in Protalix and our enhanced strategy to enable the next phase of pipeline development. We have three streams of revenues sales in Brazil to Pfizer and to Chiesi, and we expect our revenue to continue and grow. We are pleased with the interim results from our PRX-115 clinical study, and we are eager to report the top line results soon. We also -- we are continuing to leverage our platform and expertise to develop a pipeline of early-stage assets with the potential to address rare renal diseases, and we look forward to updating our progress as we continue to drive innovation and create long-term value for both patients and stockholders. Thank you very much. And I will return now to the operator to open the call for questions.
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of John Vandermosten with Zacks. Please proceed with your questions.
John Vandermosten: Great, thank you and hello Dror and Eyal. How has uptake been for Elfabrio by payers and can you give us a sense of how negotiations have been going there to get it -- to make it available and to get in on formularies, can you give us a sense of that and have you been able to or has Chiesi been able to sign any of the big payers to get it and make it available?
Dror Bashan: So John, I think we have discussed it in the past, Chiesi is a private company. So all I can say from what we know that they are doing well and they are -- I don't know, payer by payer, but as far as we see their numbers of what we know, they do well and they claim to penetrate in a more significant way going forward, of course both in the U.S. and also in other markets in Europe and outside of Europe. So actually, we are very pleased from the -- we are now about a year, give or take from the launch in the U.S. and about seven months, I believe, since the drug is available in Germany, for example, which is one of the biggest markets outside the U.S. And the outcomes are good, and they do very well. And we expect it -- expect them -- what we expect from what we understand is that this will continue to be so.
John Vandermosten: Okay. And another thing I'm hoping you can help us with is to estimate the sales numbers. I know that it's pretty lumpy still. We're probably still kind of inventory building and getting a sense of what the sales would need to be. But do you have an idea when you can provide some guidance in terms of what the sales to Chiesi might be?
Dror Bashan: Not at the moment, it depends on shipments. So right now, what we do, as you rightly said, we -- they order batches of the drug product to their stock. This is also the agreement. Since we are now in the first year, and I assume in the next 12 months, it's more or less the same because they're also penetrating to Europe and they had stocked before. So it will take a while until we will have, I would say, ongoing basis forecast. Right now, we are -- we try just to be cautious. It's not that we try to hide something god forbid, it is just that it could be that one batch is not stamped on the 25th of November or 25th of -- end of the quarter and it slips to the next quarter because of some, I don't know, QA concern only god knows what. So we don't want to say we will hit X millions of dollars, then it would be minus $5 million or minus $7 million because of a batch to Brazil, or batch to Chiesi only god knows what. So we think we need a bit more time. But again, I want to emphasize we are pleased with what Chiesi is doing. I'm not saying in order to make a V on the check box. We are very much pleased. They are focused, they put a lot of effort, and we see good results and the anticipation that this will continue and/or gradually continue going forward the next years ahead of us.
John Vandermosten: Do they provide -- do you have ongoing meetings with the team to where they update you kind of on how it's going or is it a little bit more on flank?
Dror Bashan: Yes. No, no. Not only myself, but they also sit with our team on multiple disciplines medical operations, etcetera, and also update Management and Board of Protalix. So the relationship, just to make it clear, the relationship are very good. And whenever we ask, we don't do it every other week, of course. But whenever we ask for an update or discussion with our Board or Management so Chiesi and Giacomo Chiesi, they're happy to do so.
John Vandermosten: Great. Yes, you guys had that KOL event last year, which was pretty helpful and they presented. So maybe we can do that again. Are there any milestones that you might expect from -- in the next year related to sales and while I think you've disclosed kind of the details on that but I mean is there -- might there be one in the next 12 months or so or is it further out than that based on your kind of view at this point?
Dror Bashan: It depends on, of course, on the pace of the sales. It's difficult for me to tell you today even [Technical Difficulty]
Operator: We do apologize for the technical difficulty. It does seem that we have…
John Vandermosten: Cut out, I'm back. Dror, are you still there?
Operator: It seems that we have lot Dror.
Eyal Rubin: He Is dialing back. He is dialing back again.
Operator: Okay.
John Vandermosten: Great. Well, I can ask another one while he's doing that Eyal for you. Is -- are there any conferences that you're targeting for PRX-115 to report the Phase 1 data coming up this fall, I think you said that it will be ready soon and I was wondering if there's like a certain conference that you're targeting?
Eyal Rubin: No. We just participated in one over there in early June and the full set of data from the eight cohorts, from all eight cohorts actually are going to be released sometime around the early November. So I guess that until then, obviously we're going to work behind scenes to get everything done, meet with the agencies as Dror mentioned, getting to be prepared for the Phase 2. And I guess that the next fall is going to probably be the next conference that we will be joining. By the way, we do plan to attend the ACR.
John Vandermosten: Okay. Thank you Eyal.
Eyal Rubin: Thanks John.
Operator: Thank you. We do have Dror back again.
Dror Bashan: Yes, I apologize for being cut off.
Operator: Thank you. Our next question comes from the line of Raghuram Selvaraju with H.C. Wainwright. Please proceed with your questions.
Unidentified Analyst: Good morning. This is Dan on for Ram. Thanks for taking our questions. Where does Protalix envision positioning PRX-115 with respect to [indiscernible], how does Protalix PRX-115 stacking up against SEL-212 from Sobi? We'd like to have some follow-ups, if we could.
Dror Bashan: So we are now, as we mentioned, we are finalizing the Phase 2, the Phase 2 will be with a multiple dose, hopefully. Phase 2 will mimic what we see in the Phase 1. I think we have a very interesting alternative to both enzymes. But you know we hope this will fly, this is the intent. This is the aim and the goal. I would say again, and I said -- I think I said it also at the investment event. If we would have seen outcomes which are, let's say good or fit only once in two weeks, infusion is [indiscernible] dose today, we probably wouldn't continue with the program. This is not the intent.
Unidentified Analyst: Awesome, that makes sense. Could you elucidate on some of your early-stage R&D efforts and which programs you find promising, do you expect to monetize or partner the oral anti-TNF candidate or has that program been suspended?
Dror Bashan: No, this program has been off. We are evaluating, I would say more than half a dozen programs. They are very early stage right now. Once we sign or bring them in with validated, I would say, preclinical data we will share, of course. Until then we don't want to be seen dreaming of something like this. So we operate, we are looking, I would say, very diligently any opportunity. We believe we have the right resources to do so and we hope to be able to update in the next, I don't know, quarter or two on the first or first maybe even two programs that will get into the pipe.
Unidentified Analyst: Thanks. That's really exciting. We look forward to hearing about it. Assuming full repayment of the convertible notes due next month, does the company plan to repay these or replace the notes with new notes with a different maturity date and what position do you guys have related to debt or future cap structure?
Dror Bashan: So currently, and we plan -- I mean, currently and not because I try to be cautious. We plan to pay the notes by September 1st. We do not intend to refinance or take a new debt, if I may say. As both of us mentioned, I believe both Eyal and myself, we have sufficient resources to maintain our ongoing operations inclusive of the Phase 2 of the gout. As we mentioned, we have three streams of range revenues, which we expect them to grow in the future. So this is the situation right now. [Multiple Speakers] Certainly, I would summarize that I would add that certainly, Protalix moved from, I would say, from a financial point of view, kind of a danger zone to a much more stabilized financial position. It's always good to have more money, but we didn't raise even one dime in the last, I believe, five or six quarters. So we will do it cautiously.
Unidentified Analyst: Thank you so much for answering my questions.
Dror Bashan: Thank you.
Operator: Thank you. And there are no further questions at this time. I would like to turn the floor back to Dror for closing remarks.
Dror Bashan: So thanks everybody again. Thank you for the time and the patience. We look forward to meeting with you on our next quarter and hopefully we'll have good news to report. Thank you very much.
Eyal Rubin: Thank you.
Operator: And this does conclude today's teleconference. We thank you for your participation. You may disconnect your lines at this time.